Operator: Hello and welcome to the SandRidge Energy Conference Call. All lines have been placed on mute to prevent any background noise. After the speakers’ remarks, there will be a question-and-answer session. [Operator Instructions] I would now like to turn the call over to your host Scott Prestridge, Senior Vice President of Finance and Strategy. Please go ahead.
Scott Prestridge: Thank you, and welcome, everyone. With me today are Grayson Pranin, our CEO; Brandon Brown, our CFO; as well as Dean Parrish, our COO. We would like to remind you that today’s call contains forward-looking statements and assumptions, which are subject to risks and uncertainties, and actual results may differ materially from those projected in these forward-looking statements. These statements are not guarantees of future performance, and our actual results may differ materially due to known and unknown risks and uncertainties as discussed in greater detail in our earnings release and our SEC filings. We may also refer to adjusted EBITDA and adjusted G&A and other non-GAAP financial measures. Reconciliations of these measures can be found on our website. With that, I’ll turn the call over to Grayson.
Grayson Pranin: Thank you and good afternoon. I am pleased to report on another quarter and that the company’s activity continues to translate to free cash flow from our producing assets. In addition, last week we announced entering into a definitive agreement to buy assets, the Western Anadarko Basin for $144 million before customary adjustments. Before expanding on this, Brandon will touch on a few highlights for the quarter.
Brandon Brown: Thank you, Grayson. Despite the downdrafts of natural gas prices during the period, the company generated adjusted EBITDA of nearly $13 million in the second quarter. As we have pointed out in the past, our adjusted EBITDA is a unique metric for SandRidge due to us having no I and very little T, given that we have no debt and a substantial NOL position that shares our cash flows from federal income taxes. On the I portion, we in fact generated $2.5 million of interest income during the quarter our cash held in various high yield deposit accounts. The company initiated a return of capital program last year with total cumulative dividends paid to date of $146 million, or $3.92 per share. On August 6, 2024, the board of directors declared an $0.11 per share cash dividend payable on August 30, 2024 to shareholders of record on August 16, 2024. Net cash, including restricted cash, at the end of the second quarter, was more than $211 million which represents nearly $5.70 per share of our common stock issued and outstanding. The Company has no term debt or revolving debt obligations and continues to live within cash flow, funding all its capital expenditures and dividend distributions with cash flow from operations and cash held on the balance sheet. Commodity price realization for the quarter before considering the impact of hedges were $79.54 per barrel of oil, and $0.66 per Mcf of gas and $18.99 per barrel of NGLs. As alluded to earlier, we have maintained our large federal NOL position which is estimated to be $1.6 billion at quarter end. Our NOL position has and will continue to allow us to shield our cash flows from federal income taxes. Our commitment to cost discipline continues to yield results with adjusted G&A for the quarter of $2.5 million, or $1.85 per Boe. We continue to generate net income for our shareholders. During the quarter we earned net income of approximately $9 million, or $0.24 cent per basic share and net cash provided by operating activities of approximately $11 million. The first half of the year concluded with the Company producing approximately $24 million in free cash flow, which represents a conversion rate of approximately 85% relative to adjusted EBITDA. Before shifting to our outlook, we should note that our earnings release and 10-Q provide further details on our financial and operational performance during the quarter.
Grayson Pranin: Thank you, Brandon. We thought it would be useful to talk about our recent acquisition announcement before touching on other company highlights. We’re excited to expand our footprint here in the Mid-Con. The assets include 42 producing wells focused in Ellis and Roger Mills counties in Oklahoma, making approximately 6 MBoe per day, comprised of 40% oil or 70% liquid by volume or 90% liquids on a revenue basis. It also includes four drilled but uncompleted wells and leasehold interest in 11 drilling and spacing units. This acquisition could provide five main benefits for the company. The first is that it’s accretive to key metrics including production, EBITDA and free cash flow, and provides an attractive all-in return at recent commodity prices. Two, it bolsters our base production and cash flow levels, while preserving our strong balance sheet and planned capital return program. Third is it diversified commodity mix of our producing asset base and provides commodity optionality with future investments. Fourth is that it upgrades our inventory through the Cherokee shale play, adding 22 two-mile laterals focused in highly productive areas of the Cherokee play. And the fifth is to provide synergies with the areas that we’ve been recently investigating the potential for new SandRidge operated drilling opportunities. As we operate and jointly develop the acquired assets, our team will be well positioned to evaluate and execute on future organic growth opportunities. The Cherokee formation of the Western Anadarko Basin has become a highly productive hydrocarbon target with increased horizontal activity over the last several years. It is comprised of mostly self-sourcing shales with interbedded high porosity sand. Cherokee depths range from approximately 8,500 feet north of the basin to greater than 13,000 feet basinward with a thickness ranging from 400 feet to greater than 2,500 feet. The Cherokee play is currently being developed and delineated across the Northeast Texas panhandle to Western Oklahoma areas encompassing five counties. The DSUs we will be acquiring interest in are concentrated in the southern area of the Cherokee core and offset some of the more productive wells in the play. The most recent Cherokee Wells in Roger Mills County had an IP-60 of approximately 1,600 Boe per day with 57% oil composition and it had an average return of approximately 100%. These wells, along with the nearest offsetting wells to the north that have additional production history as source from Enverus, have an average EURs greater than 500 MBoe per oil or 1,500 MBoe on a two stream basis. We will also gain exposure to three DSUs in Ellis and Lipscomb Counties. The PDP assets included in the acquisitions are focused in the core of the play and are connected to common Mid-Con midstream purchasers in markets and do not require any substantial infrastructure investments. The assets are relatively new horizontal wells with the oldest being just a few years old, which helps from a breakeven or reserve life perspective. For example, a long-lived asset further out on its decline curve will have a higher relative reserve risk because it is more susceptible to changes in prices or costs. These wells start out free flowing and do not require artificial lift for the first several months to years, and plunger lift appears to be a very cost effective option long-term. Annualized EBITDA based on production through May of this year was over $50 million, which implies an EBITDA multiple compared to the purchase price between 2.5 and 3 times. As we look forward, we anticipate the oily PDP production and projected new development to meaningfully increase SandRidge’s EBITDA and cash flow on a pro forma basis up to 2 times in 2025 and 2026. Given the recent strip, all while maintaining our planned quarterly dividends. I will continue to be responsible stewards of our incumbent asset base. Upon consummation of the transaction, our focus will expand to include the efficient integration of these new assets and implementing our low cost operating expertise to these new assets. The transaction also provides the potential for expanded activity, which can include the completion of three operated, drilled, but uncompleted wells this year. Also, we will work with our joint development partner who has a demonstrable history of successful operations in the play to plan and initiate a drilling campaign potentially as early as the fourth quarter of this year. We will assume operatorship of the new wells after they are producing. Closing is expected to occur during the third quarter, on which we will plan to provide more information and updated guidance. We plan to finance this acquisition with cash on hand will have approximately $70 million of cash assets after the transaction is complete, which will be reserved for working capital, return of capital, further acquisition potential and other capital uses, consistent with our strategy that I will touch on later on the call. Let’s now pivot back to the base business. As I mentioned previously, we had positive results and free cash flow in the first half while converting over 85% of EBITDA to free cash flow. Production for the second quarter and the first half of the year from our Midcon assets averaged over 15 MBoe per day. While we did experience higher downtime associated with spring weather, our operations and field teams did a great job in responding and bringing wells back online. Dean will expand on operations later in the call. Company’s largest natural gas purchasers switched from ethane rejection to recovery for two months during the quarter. The duration of ethane recovery is dependent on the dynamics of pricing between natural gas and ethane moving forward and impacts both NGL volumes and price realizations. In addition, natural gas realizations were also impacted this quarter by both low Henry Hub benchmark prices where the fixed infield gathering and transportation costs take up a larger percentage, as well as a widening and local basis. Markets are forecasting for [indiscernible] where the majority of our gas is sold to return to normal over time, but has beenas high as $1 this past June. With that, I will turn things over to Dean.
Dean Parrish: Thank you, Grayson. Let’s start on our capital program. This year on a standalone basis, we plan to complete 14 artificial lift conversions as the company continues to focus on high return and value adding projects that provide benefits such as lowering forward-looking costs, enhancing production on existing wells and further moderating its decline profile. The systems we have and will be installing are tailored for the wells current fluid production and will reduce the electrical demand from the current artificial lift system and is key to decreasing future utility costs. In addition to artificial lift conversions, our production optimization campaign includes heel completions, recompletions and refracs. The heel completion that we highlighted this quarter added two additional stages to a Northwest Stack horizontal well. Near-term production rates are four times that pre-heel completion before adding back volumes from the remaining lateral. Production completion pressures and tracers all indicate that we access new reservoir not already drained by the existing simulated area. We could highlight another three similar projects this year. Our incumbent leasehold remains approximately 99% held by production, which cost effectively maintains our development options over a reasonable tenor. These assets have higher relative gas content and commodity price futures are not yet at preferred levels to resume further development or more reactivations at this time. Commodity prices firmly over $80 WTI and $4 Henry Hub over a confident tenor and/or reduction well costs are needed before we would return to exercise the option value of further development or well reactivations. With that said, we have and will be leasing in the Cherokee play, which could translate to additional operated development next year. The oilier content and increased productivity helps to boost relative rates of return while decreasing breakeven pricing. In addition, the experience we gained from the joint development of the assets included in our recently announced acquisition will position our team to evaluate and execute on operated organic growth opportunities in the future. The focused efforts over the past several quarters in optimizing our wells production profile and cost focus have contributed to flattening the expected base asset level decline of our already producing assets to single-digit average over the next 10 years before the impact of further production optimization, development or acquisitions. Now shifting to lease operating expenses. Despite continued inflationary pressures, increased well count from our prior capital programs, and seasonal spring storms LOE and expense markovers for the quarter were held to approximately $8.7 million or $6.41 per Boe, an approximate $2 million for $1.50 per Boe reduction to the prior quarter. This was driven in part by a reduction in expense markovers as well as a softening in utility costs and reduced water handling costs. We will continue to actively press on operating costs through rigorous bidding processes, leveraging our significant infrastructure, operations center and other company advantages. With that, I’ll turn things back over to Grayson.
Grayson Pranin: Thank you, Dean. Let us pause for a moment to revisit the key highlights of SandRidge. Asset base is focused in the Mid-Continent region with primarily PDP well set, which do not require any routine flaring of produced gas. These well understood assets are almost fully held by production with a long history shallowing and diversified production profile and double-digit reserve life. Our incumbent assets include more than 1000 miles each of owned and operated SFD and electric infrastructure over our footprint. This substantial owned and operated infrastructure helps to de-risk individual well profitability for a majority of our legacy producing wells down to $40 WTI and $2 Henry Hub while we have recently seen spot prices below $2 Henry Hub WTI has been in the 70s or above which has buoyed our revenue and cash flow this year. Our assets continue to yield free cash flow total cash as a quarter end of more than $211 million. This cash generation potential provides several paths to increase shareholder value realization and is benefited by low G&A burden. SandRidge’s value proposition is materially de-risked from a financial perspective by our strengthened balance sheet, robust net cash position, no debt, financial flexibility and approximately $1.6 billion in federal NOL. Further, the company is not subject to NBC’s or other significant off balance sheet financial commitments. Finally, it’s worth highlighting that we take our ESG commitment seriously and have implemented disciplined processes around them. We remain committed to our strategy to focus on growing the cash value and generation capability of our business in a safe, responsible, efficient manner, while prudently allocating capital to high return organic growth projects. We also remain vigilant in evaluating further merger and acquisition opportunities in a disciplined manner with consideration of our balance sheet and commitment to our planned return of capital program. This strategy has five points. First is to maximize the cash value and generation capacity of our incumbent Mid-Con PDP assets by extending and flattening our production profile with high rate of return production optimization projects, as well as continuing pressing on operating and administrative costs. Second is to ensure we convert as much EBITDA to free cash flow as possible by exercising capital stewardship and investing in projects and opportunities that have high-risk adjusted fully burdened rate of returns. The third is to maintain optionality to execute on value-accretive merger and acquisition opportunities that could bring synergies, leverage the company’s core competencies, complement its portfolio of assets, further utilize its approximately $1.6 billion of federal net operating losses or otherwise yield attractive returns for its shareholders. Fourth, as we generate cash, we will continue to work with our Board to assess past and maximize shareholder value to include investment in strategic opportunities, advancement of our return of capital program and other uses. To this end, the company expanded its return of capital program earlier this year, the $1.72 per share of dividends paid this year, and a total of $3.92 per share since last year. Final staple is to uphold our ESG responsibilities. Now, shifting to administrative expenses, we’re able to keep adjusted G&A to $2.5 million for the quarter or $1.85 for Boe, which compares favorably with our peers. Efficiency of our organization stems from our core values to remain cost disciplined as well as prior initiatives which have tailored our organization to be fit for purpose. We continue to balance the weighting of field versus corporate personnel to reflect where we actually create value and outsource necessary but more perfunctory and less core functions such as operations, accounting, land administration, IT, tax and HR. Given our efficient structure and ability to flex with both activity and commodity price, our total personnel has remained consistent at just over 100 people, while retaining key technical skillsets that have both the experience and institutional knowledge of our area of operations. We plan to maintain this efficient structure as we move forward with the acquisition, which should only further benefit our G&A per Boe metrics. Please note the company did recently secure hedges for a portion of its oil production through the first half of 2026 and the NGLs through 2025. We will continue to review and could hedge additional volumes from time-to-time in order to manage volatility or secure revenue and returns on acquisitions, material capital programs to capture favorable pricing or for other risk management purposes. Please see our 10-Q for additional details. In summary, the company has more than $211 million cash-to-cash equivalent at quarter end, which represents nearly $5.70 per share of our common stock issued and outstanding. A mid-composition that is approximately 99% held by production, which preserves the option value of future development potential in a cost effective manner. Low overhead top tier adjusted G&A of approximately $1.85 for Boe for the quarter. No debt, in fact, negative leverage. Positive free cash flow and a growing net cash position supported by a flattening production profile and multi-digit reserve life asset base. $1.6 billion federal NOLs which will shield future free cash flow from federal income taxes. This concludes our prepared remarks. Thank you for your time. We’ll now open the call to questions.
Operator: All right, thank you so much. [Operator Instructions] Our first question comes from the line of Jesús León from Castañar Investment. Please go ahead.
Jesús León: Thank you very much. My question is regarding the last acquisition. How much is that to our [indiscernible]?
Grayson Pranin: Good afternoon, Jesús, this is Grayson. Pleasure to take your call. I’m sorry, that came in a little bit broken up. Could you repeat your question again, please?
Jesús León: Yes, sorry. I’m in the airport. I was asking about the latest acquisition, how much it is add to our to be reserves.
Grayson Pranin: We have not come out with an actual reserve number addition, but that will be forthcoming with our standard performer reporting in the weeks to come.
Jesús León: And regarding the free cash flow, you mentioned multiple of two, can you put on a figure or number to what we suspect [ph] in the coming fiscal year?
Grayson Pranin: Are you forward-looking, is that what you’re asking about what cash flows, the new acquisition is forward looking?
Jesús León: So you mentioned that it was created from EBITDA and free cash flow perspective. I just wanted to put a magnitude on that. You mentioned two times during the call. Not sure if that’s correct.
Grayson Pranin: Yes, that’s right. We look at this from an EBITDA perspective, adding up to two times, four booking – relative to standalone.
Operator: [Operator Instructions] As we have no further questions, I would like to thank everyone for joining the SandRidge Energy conference call today. Have a pleasant rest of your day.